Operator: Good day, and thank you for standing by. Welcome to Better Collective Q3 2025 Presentation. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Better Collective VP, Investor Relations and Communications, Mikkel Munch Jacobsgaard. Please go ahead.
Mikkel Jacobsgaard: Thank you very much, and good morning, and welcome to Better Collective's Q3 webcast. My name is, as you just heard, Mikkel Munch Jacobsgaard, and I'm the Vice President of IR and Corporate Communications here at Better Collective. I'm joined today by our Co-Founder and Co-CEO, Jesper Sogaard; and CFO, Flemming Pedersen, who will provide today's business update in connection with our Q3 report that was disclosed yesterday. Please follow me to the next slide. We ask you to pay attention to this slide where we display our disclaimer regarding any forward-looking statements in today's webcast. Please turn to the next slide as I hand over the word to Jesper for the third quarter highlights.
Jesper Søgaard: Thanks a lot, Mikkel. Good morning, all, and thank you for joining today's webcast. Let's dive into the Q3 highlights, and please follow me to the next slide. Overall, we are happy to show good underlying growth in Q3 when normalizing for the sports win margin. During especially September, the Sportsbook saw player-friendly results, which dampened revenue and earnings by EUR 10 million when comparing to the same period last year. Group revenue reached EUR 78 million and EBITDA came in at EUR 21 million. I'm very satisfied with this performance despite the low sports win margin, which is an external factor we cannot control and also that normalizes over time. In Brazil, we continue to see good activity levels in line with recent quarters with revenue above our expectations. Although the market remains affected by the ongoing regulatory transition, dampening our ability to send new customers to our partners. In North America, revenue share more than doubled compared to last year, further strengthening our base of recurring revenue in the region. Our new KPI, the value of deposits reached EUR 726 million, up 2% year-over-year. Considering the continued regulatory transition in Brazil, this stable development is a strong achievement and confirms the solid quality of our underlying player databases. On the cost side, group costs continued to trend down, reflecting the successful execution of our cost efficiency programs. Finally, we maintain our financial guidance for the year and continue our share buyback, which we announced with the Q2 report. Please turn to the next slide. On this slide, you can see the main factors influencing our revenue performance in the third quarter. First, the sports win margin reached a record low in Q3, impacting revenue negatively by EUR 10 million. Secondly, the ongoing regulatory transition in Brazil continued to weigh on performance, contributing with EUR 4 million negative impact, although this is better than expected. Thirdly, we had an FX headwind of EUR 2 million. On the positive side, the North American revenue share doubled, showing EUR 4 million of growth. Furthermore, we saw underlying growth in the business of EUR 9 million. This was particularly within Paid Media, Sports Media and our talent-led media. Altogether, this brought us to a Q3 revenue of EUR 78 million. Please turn to the next slide where we look at the development in EBITDA. EBITDA was largely flat with key components being the revenue-related effects just discussed accounted for a EUR 3 million negative impact, where the sports win margin had full negative effect. Last year's cost reductions included temporary one-off items such as variable pay reversals, which created a EUR 6 million positive effect last year. We also continued to invest in growth, particularly within Paid Media, where higher activity levels led to EUR 2 million in additional costs. Lastly, our cost efficiency program launched in October last year delivered EUR 8 million in cost reductions. Altogether, this brought us to a Q3 EBITDA of EUR 21 million. Please turn to the next slide. Following Q3, our 2025 and 2027 financial targets remain unchanged and are shown here. We remain confident in delivering on our 2025 guidance with Q4 expected to be our largest quarter of the year, consistent with prior years. The quarter will be supported by a higher top line in the busy sports season and continued cost discipline as demonstrated in Q3. Please turn to the next slide. In September, we reached one of the most defining milestones in Better Collective's history with the launch of Playbook, our new AI-powered betting solution. Playbook marks the beginning of a new chapter for Better Collective as we expand beyond customer acquisition to also include user retention and long-term engagement. This is a vision my co-founder, Christian and I have shared since founding the company to empower fans with smarter, more personal and more intuitive ways to engage with sports and betting. By using AI to understand intent and context at scale, Playbook transform fan engagement into real-time data-driven experiences. This allows fans to seamlessly make bets directly from the communities and platforms where they already spend time, whether that's on X, in messaging apps or across our own media brands. Our partnership with X in the U.S. positions us exactly where sports conversations naturally happen, giving us access to unmatched scale, data and first-party insights. Within just a few weeks, Playbook has already generated millions of bets placed and shown exponential growth, clearly validating both the product and the vision behind it. Ultimately, for me, Playbook represents the next evolution of Better Collective, transforming how we connect with fans, deepening engagement and creating lasting value for users, partners and shareholders alike. Since launching Playbook in September, we have seen exceptional and rapidly accelerating growth. This measures when a user is directed to a sportsbook after choosing a bet slip suggestion. Very encouragingly, almost all of these clicks result in bets being placed, which clearly demonstrates the strong user intent and conversion rates of the product innovation. We are very pleased that only a few weeks after launch, Playbook has already generated millions of bets placed with our partners, a very encouraging start for what we see as a long-term growth driver for Better Collective. Please turn to the next slide and let Flemming take us through the financial performance for the quarter.
Flemming Pedersen: Thank you, Jesper, and good morning to you all. Please follow me to the next slide as we dive into the financials. As Jesper mentioned earlier, the result ended in a 4% revenue decline to EUR 78 million. However, when we normalize the sports win margin impact, which hits both revenue and EBITDA, the picture changes and on a normalized basis, we would have seen organic growth. As Jesper mentioned, we do see fluctuating sports win margins from time to time, and it is something we cannot influence and it is just dependent on sports results, which in this quarter and in September, in particular, have been in players' favor. Let's turn to the next slide. A key strategic focus for us continues to be the expansion of our recurring revenue base, which provides a solid and predictable foundation for the business and represents significant unrealized value over time. Year-over-year, recurring revenue declined by around 5% to EUR 50 million. This was primarily driven by the lower revenue share, reflecting the unfavorable sports win margin in the quarter as well as the ongoing regulatory transition in Brazil, where the market was reset by 1st of January following the new market regulation. Importantly, we continue to send new customers on revenue share agreements. In this quarter, the ratio was more than 80% of NDCs sent to partners operating on revenue share terms. A significant portion of this revenue is still unrecognized and will materialize over time, further strengthening our long-term earnings potential. In the last 12 months, we have generated EUR 160 million in revenue share income. Please turn to the next slide. Continuing on recurring revenue, let's take a look at our North American revenue share development. Back in Q3 2022, we began shifting our U.S. business model towards revenue share agreements, gradually moving away from CPA agreements to the extent possible. During 2023, parts of our revenue share agreements included upfront components, which temporarily boosted our reported revenue share income to levels similar to what we are seeing today. However, that structure is now almost fully transitioned to pure-play revenue share. Today, the revenue share we generate in the U.S. mainly comes from pure-play revenue share and only a small degree upfront payments. This entails a significant improvement in the quality of earnings as it means that the revenue we recognize is fully recurring and directly tied to player performance over time, providing more stability, predictability and long-term earnings potential. Due to the nature of the U.S. market where players are often incentivized by large bonuses, it has taken quite some time to get here. But we knew this when we started, and now we are seeing the returns coming. As you can see on this slide, revenue share income in North America doubled compared to last year. We expect this steady buildup to continue, further strengthening the foundation for our recurring revenue base. Please follow me to the next slide. Let me then turn the focus to our cost base. Our cost base reached its peak in mid-2024 at EUR 70 million per quarter. In Q3 2025, costs were 18% lower compared to that peak, now standing at EUR 57 million. This reflects a leaner and more efficient operating structure that positions us well to the future growth. We have communicated a lot about this in previous quarters. And while we are still focused on optimizing the business, we feel that we are in a good place now with the right organizational structure in place for the coming years. Included in the costs during the past quarters are also investments in new business initiatives such as the growth investments in paid media, the development and launch of Playbook as well as a number of new other initiatives. Please turn to the next slide. EBITDA before special items was largely flat year-over-year, resulting in a margin of 27%. However, when we normalize for record low sports win margin, the underlying performance is strong and the result of the business ability to drive new business across platforms and the disciplined cost management. As a reminder, a negative sports win margin impacts both revenue and EBITDA with equal impact. Please turn to the next slide. Take a look at our free cash flow development. Starting from Q3 year-over-year, EBITDA before special items of EUR 65 million. We saw a positive change in net working capital of EUR 7 million. Net financial expenses and tax payments each amounted to EUR 13 million, so EUR 26 million in total. In addition, we had EUR 14 million in other investments where the major part is related to our media partnerships. Altogether, this brings us to a free cash flow of EUR 32 million year-over-year, fully in line with our expectations and supporting our full year free cash flow guidance of EUR 55 million to EUR 75 million. Not shown on this slide, but worth mentioning is that our operational cash flow before special items was very strong, ending in a cash conversion of 168%, which reflects a healthy underlying cash generation from our core business. Lastly, regarding financing, in September, we entered into a new 3-year committed bank facility of EUR 319 million with an additional EUR 80 million accordion option. This facility strengthens our financial flexibility and supports our ability to execute on strategic priorities. We are very happy with this strong backing from our main banks. Please turn to the next slide. Over the past year, we have seen a decline in NDCs largely driven by the slow dropdown in Brazil, where welcome bonuses remain prohibited. However, as we mentioned in our previous webcast, while NDCs continue to be an important metric, the value of deposits provides a more meaningful view of the actual performance of our revenue share databases. As shown on this slide, the value of deposits has continued to grow consistently over time, underlining the health and quality of our recurring revenue base. Even more important to highlight, the value of deposits grew year-over-year, which is a solid achievement considering the ongoing regulatory transition in Brazil. A key driver of growth in the U.S. market characterized by significant higher player values compared to other markets as well as the Brazilian growth in past years. Please turn to the next slide and I hand the word back to Jesper for the key takeaways of today.
Jesper Søgaard: Thank you, Flemming. And please turn to the next page. Before we close, let me summarize the key takeaways from the third quarter. Group revenue came in at EUR 78 million and EBITDA at EUR 21 million, both impacted by the record low sports win margin. Despite that, the underlying business showed solid growth across core markets and businesses. Brazil remained active, though still affected by the ongoing regulatory transition, while North America revenue share more than doubled compared to last year, further strengthening our recurring revenue base. Our new KPI, the value of deposits reached EUR 726 million, up 2% year-over-year, confirming both the quality and stability of our player database. Group costs continue to trend down, reflecting the ongoing execution of our cost efficiency program. During the quarter, we launched Playbook, which is a significant milestone for our company. Finally, we maintain our financial guidance for the year and initiated a new EUR 20 million share buyback program, bringing the total share buyback programs launched this year to EUR 40 million. All in all, we are entering the final quarter of 2025 with a leaner structure, a stronger recurring base and positive momentum heading into 2026. Thank you for your attention. Let's move on to the Q&A.
Operator: [Operator Instructions] We will take our first question, and the question comes from the line of Hjalmar Ahlberg from Redeye.
Hjalmar Ahlberg: Maybe to start a few questions on the Playbook product there. What do you see in terms of operator feedback this far and maybe some comments on how they potentially can pay for this product in terms of the retention you provide?
Jesper Søgaard: Well, thanks, Hjalmar. First off, we -- I think what really matters and where this start is that there's great user adoption, like we are really pleased with how the sports betters are utilizing this product and basically are able to place bets more conveniently. And then on our partner side, we are seeing good feedback. And basically, I'm pleased with how they also engage with this product. I think when you consider the current sort of quality of Playbook is that it makes it super convenient to place a fairly complex bet, say you want to put on a bet on a single game with many different parts of that single game parlay. That's very cumbersome to actually place within a sportsbook app, and especially if you have seen on X, where we have partnered, some experts sharing their bet slip with, let's say, 10 different picks, it will take you a lot of time to place that, so we really create convenience about placing that particular bet. And for the sportsbooks, these single-game parlays or multi-game parlays are quite attractive due to the margin profile of such tickets. Obviously, they have higher odds and basically are more like a lottery ticket, but that also leads to an attractive margin profile for the sportsbooks. And we really facilitate a higher number of such bets flowing through to the sportsbooks, so it's -- it has been well received. And yes, we are well aligned with the sportsbooks on this product.
Hjalmar Ahlberg: I'm just curious about this product. I mean, how long have you been working on the development of the product? And also, interesting to hear if you have any -- I mean, in terms of product development, are you looking to do more in terms of products that are focused on retention compared to acquisition?
Jesper Søgaard: Yes. So, this is actually a product evolution, which started with our quick slip integrations that we did and then basically applying AI as the big unlock here, which allows for that context recognition and matching on the sportsbook side. And no doubt, we are really excited about this product, and I'm so impressed by our product organization who've done a great, great job of delivering this product in a short period of time, ready for the start of the NFL. And we'll continue to invest in this product and develop it, and ultimately, it's about creating convenience for the sports punters and help them place the bets they want to place, but also in the future, place the kind of bets they probably had not considered and could be inspired by our product. So, we're investing a lot into this product and definitely see still a lot to be done in developing the full vision of Playbook.
Hjalmar Ahlberg: And also on North America...
Flemming Pedersen: No, I think just to be fair, you also asked the question to monetizing, Hjalmar. And I think you can say -- we actually you can say went slow in the beginning, but we have been surprisingly -- positively surprised, I would say, about both the adoption, but also the partner engagement. So, we are already seeing, you can say, that product monetizing. Still, it's in the early phase, of course. And as Jesper said, it's focused on user adoption. But I can say, from my chair, we are quite pleased with that already.
Hjalmar Ahlberg: Sounds good. And also, good to see some really strong revenue share income in North America. I just wanted to hear if you can maybe elaborate a bit. I mean if you compare North America, if I understand it correctly compared to Europe, it's maybe not always the same length or lifetime permission contract. How do you think that will evolve over time? I mean, do you think that will -- I guess it is still a long time before that make an impact. But yes, if you can comment anything how we should view that compared to Europe, for example, if you understand my question.
Flemming Pedersen: Yes. I think for revenue share in the U.S., as I also mentioned, it has taken us a long time where we have been sort of not seeing a lot of revenue from all our investments we have made in revenue -- sending revenue share players, if you like. Because of the nature of the market where bonuses are so big in comparison to other markets, so it takes a long time before the player becomes profitable. But now we are seeing that, you can say, coming into the positive territory, and of course, that's very pleasing to see and also the player values that we have we assessed in the beginning, we are also happy with what we are seeing eventually.
Hjalmar Ahlberg: Got it. And a final question, just on the costs there. I mean you see continued good progress on cost savings. And it also looked like the staff cost was down quite a bit compared to Q2 this year sequentially and also the number of employees, Is that something temporary in Q3? Or is it more like costs that will remain even going into Q4?
Flemming Pedersen: Yes, I think it is, you can say, a reflection of the cost efficiency program we have been running. So, I think that's just, you can say, the new base basically.
Operator: We will take our next question. Your next question comes from the line of Edward James from Cantor Fitzgerald.
Edward James: Great. It's just primarily on guidance, and I'd be interested if you could just unpack what is baked into both the low end and the high end of guidance for fiscal 2025, both on revenue and for EBITDA margins and just to understand that bridge because obviously, the guidance is unchanged, but it leaves quite a wide range of outcomes for the single quarter of Q4. So, any comments there would be appreciated.
Flemming Pedersen: Yes. Flemming here. You can say the guidance will basically be that we perform as expected in what is our biggest quarter by seasonality. If you look at the Q4 last year, it's sort of more or less in line with that with some bit of growth. So, we are pretty confident on that. Of course, there is also, you can say, to the higher end, sports win fluctuations. Now we have seen a very low sports win margin in September. So, you can say within that range, there's, of course, also the win margin fluctuations. So, I think that's the comments I can make to that.
Operator: [Operator Instructions] Your next question comes from the line of Poul Jessen from Danske Bank.
Poul Jessen: Yes. I have 2 questions. Coming back to the Playbook, could you put a little more color on how it works if a client go on to accept a suggestion for multi-bet and that is then placed at non-par at a sportsbook where you have no agreement, it's still put on. But what is then your intention to showcase in the future that you will generate traffic and then make a deal? And then secondly, if he has no -- if he's not a registered player at a sportsbook then you will see revenue from those new players maybe in 2 years. Is that the way we should understand?
Jesper Søgaard: Poul, thanks for the questions. Yes, so there are actually different monetization models in place. And like starting with the last one, we obviously have sort of the normal affiliate deals in place with our partners. So, if we send a new customer to them, that player is being tracked to us. And then we also have sort of more retention-based models, where it's based on volume, and where we can also make money from players that we have not sent in the past. But of course, there are different models in place, and we work with several sportsbooks on this. So, there are basically different models in place. But I think overall, we are quite pleased with sort of the ways we can monetize this product and also basically just gaining a lot of very attractive and interesting data insights on this particular audience.
Poul Jessen: Okay. And the second question is about the prediction markets. That has been putting a lot of pressure on the betting companies during October and into November. So how do you look at it? Are you totally neutral, so you don't care if it's one or the other who wins that game? You're just happy that it will create more competition and therefore, improve your value. But are you having a partnership across the full space? That's question number one. And then the second is on Flutter yesterday, saying that they're going to launch prediction-based betting nationwide in December. Yes, if you could put some views on that.
Jesper Søgaard: Yes. Yes, sure. I can do that, Poul. And I think it is, of course, a very big theme right now, the prediction markets, and clearly, a win-win for us. At a high level, prediction markets are gaining traction in the U.S. because they give a real-time view of what people actually think will happen, not what polls or headlines suggest. They let people express their expectations in a transparent way. And this isn't a new territory for us. I can say personally, I've been betting with Betfair for more than 20 years, and Betfair has been a customer of ours. So, we are very used to the European side of our business, to the prediction markets where you have betting exchanges. From a U.S. sports industry perspective, the growing attention around prediction markets underlines a very strong underlying demand for bet-type products. As these platforms become more visible, they can help push momentum for broader regulation of online sports betting in more states. And I have probably one particular state in mind, like California, being the single biggest opportunity in the U.S., and that would be very positive for the whole ecosystem, including us, if we were to see any progress there. And as I said, for Better Collective, this is clearly a win-win. We already work with the key players in prediction markets and monetize traffic in States where online sports betting is still not regulated. And if prediction markets help accelerate the regulation of online sports betting, we benefit from that as well. So, regardless of which way the market develops, we are in a strong strategic position to capture value on both sides. And also alluding to Flutter that you mentioned, they are also signaling increased spending related to this ecosystem. And I think books have been speaking to increased spending related to this ecosystem. And obviously, I do believe suppliers will benefit from that.
Poul Jessen: And in the prediction part, is that revenue share as well?
Jesper Søgaard: Well, in general, we have affiliate models in place, and the way we monetize this is not something we specifically comment on.
Poul Jessen: And then the final one, just a clarification about the headwind of EUR 10 million in revenue share. Is it fair to assume that more or less all of that is coming from Europe and the rest of the world, as the U.S. was already very low last year?
Flemming Pedersen: Yes. Flemming here. Thanks, Poul. It's basically on both sides of the Atlantic, if I can put it that way, that we have seen headwinds. And also, to be transparent, you can say on a normalized win margin, you can say we would have seen a EUR 7 million decline. So actually, we had some tailwind in the previous year's Q3. Hence, why the year-on-year comparison is a bit bigger. But yes, it was basically both in the U.S. and the rest of the world.
Poul Jessen: But if you only had EUR 4 million in the U.S. last year, then there is a limit on how much you could lose over.
Flemming Pedersen: Yes. But you can say it is growing, and more and more partners are coming into positive territory, hence, where we see the impact. You don't see the impact on a partner where you are in negative revenue share territory. So that's sort of the shift. But I think going forward, we will include the win margin comments. We have only done that when we have seen some sorts of exceptional moves. So, to put a bit more color on that.
Operator: There seems to be no further questions from the phone lines. I would like to hand back for any webcast questions.
Mikkel Jacobsgaard: We have a few online here. So, if we start with one here, I guess, for you, Jesper. What is the reason for the NDC trend? And last quarter, you reported a split for the NDCs in Brazil and the rest of the world. Why is that not shown this quarter?
Jesper Søgaard: Yes. First off, like we don't intend to show that every quarter. But I think the main message from that was the impact of Brazil and no sign-up bonuses, and we are seeing a similar picture in Q3. And then obviously, also last year with Cap America and the Euros, also NDC drivers. So, I think more or less, it's as expected in Q3, what we are seeing from NDCs.
Mikkel Jacobsgaard: Thank you. And then we are getting a few questions that I'll bundle into one in terms of what the expectations are for sports win margin heading into Q4, and what normally also happens when you have such a low sports win margin in one quarter?
Flemming Pedersen: Yes, I can take that. Normally, we forecast sports win margin on a historical basis, and that's also the case for Q4. So, no extraordinary, you can say, in that for the full year forecast.
Mikkel Jacobsgaard: Thank you. Then we have a bunch of questions related to the Playbook that I think have already been answered earlier on in the call in terms of monetization and partners and so on. So, I think we'll leave it at that. But we do have a question on the guidance as well. Also, I think that was also answered. I think Ed asked us that question from Cantor in terms of Q4 and what our guidance expectations were. Then there is a question related to prediction markets, more specifically in terms of new depositing customers, whether that's something that we're seeing already now, and at what levels?
Jesper Søgaard: Yes, we can confirm that we are sending NDCs also to prediction markets.
Mikkel Jacobsgaard: Then there's a question related to our NDCs and the mix between revenue share and CPA, and that was around 80% for this quarter. So, I'll take that one. There's also a question, I guess, for you, Flemming, related to cost savings. We are being congratulated on the work. And it seems like the question is about whether staff costs will stay where they are or if we have more expectations for those going forward? Any expectations for those?
Flemming Pedersen: Yes. I think we have sort of also, in connection with Q2, stated that now we have sort of ended our cost efficiency program. So now we sort of see a normalized level of cost, and that is also what we have built into our future guidance.
Mikkel Jacobsgaard: Thank you. Then we have a question, I guess, for you again, Jesper, turning back to prediction markets and whether we expect both to work with prediction market platforms and sportsbooks on, and to work with prediction markets.
Jesper Søgaard: Yes. I think right now, it's quite clear that the entire market is being embraced by all participants, both in sports betting and also more on the financial side. And as I alluded to earlier in -- sorry, itâ€™s a bit lengthy reply to Poul's question about prediction markets is that it's essentially a win-win for us as we can work with all of them. When you look at the audiences we have across our big brands in the U.S., this is like key audience for these products. And we also have a significant audience from all states in the U.S. on our platforms.
Mikkel Jacobsgaard: Thank you. There are no further questions online. So, thank you very much for showing interest in Better Collective. Have a nice day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.